Operator: Ladies and gentlemen, thank you for standing by, and welcome to the American Electric Power Fourth Quarter 2014 Earnings Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the conference over to your host, Ms. Bette Jo Rozsa. Please go ahead.
Bette Jo Rozsa: Thank you, Keeley. Good morning, everyone, and welcome to the fourth quarter 2014 earnings webcast of American Electric Power. We're glad that you are able to join us today. Our earnings release, presentation slides, and related financial information are available on our Web site at aep.com. Today, we will be making forward-looking statements during the call. There are many factors that may cause future results to differ materially from these statements. Please refer to our SEC filings for a discussion of these factors. Joining me this morning for opening remarks are Nick Akins, our Chairman, President and Chief Executive Officer; and Brian Tierney, our Chief Financial Officer. We will take your questions following their remarks. I will now turn the call over to Nick.
Nick Akins: Thanks, Bette Jo. Good morning, everyone, and thank you for joining our fourth quarter 2014 earnings call. 2014 was an outstanding year for AEP, not just because our earnings came in within the stated guidance range close to the midpoint, which that is great, but the real story is how we did it. Our management team and employees pulled together a set of firm foundation for the future, the culture that allows for the proper and timely allocation of capital, the ability to take advantage of additional spending opportunities brought on by our first quarter performance, and our focus on disciple and execution by our employees to produce continuous improvement savings to provide the consistency our shareholders and customers expect. As you probably know by now, Columbus is pretty excited by the Ohio State University football team winning the National Championship this year. They won it because of process, execution, discipline, and leadership that transcended the many pitfalls along the way. AEP is no different in our quest to become a premium regulated utility. From the outset in 2014, our generation performance during the polar vortex offered an opportunity to advance investment in transmission, detail plans for the movement of O&M expense in the 2014 from 2015 and '16, and build upon the foundation of our continuous improvement initiatives. My point being all of these processes already exist to enable AEP to have the ability to quickly respond with confidence to ultimately improve shareholder value as well as produce value for our customers. So with that said, reviewing the financials for the quarter and the year, our GAAP and operating earnings for the fourth quarter were $0.39 per share and $0.48 per share respectively. Our fourth quarter performance was as we expected, given the headwinds of advanced spending, resolution of coal contract issues, and the placement of certain regulatory reserves. The only surprise really was the recent Kentucky decision that knocked us down about $0.05 per share for 2014, which I'll discuss later. Even after these adjustments, our earnings were $3.34 per share on a GAAP basis, and $3.43 per share on an operating basis for 2014, still within the operating earnings guidance range of $3.40 to $3.50 per share. We also increased the dividend 6% on an annualized basis, producing a total shareholder return of 35.1% for the year. As you can see, total shareholder return over the one, three, and five year cycles had been impressive. Okay, that's great, but now what about 2015? AEP is reaffirming our guidance range of $3.40 to $3.60 per share for 2015, with a 4% to 6% earnings growth rate based upon our original 2014 guidance that we shared at the November EEI financial conference. AEP will continue to focus on growth of the regulated businesses, in particular our transmission business focused on effective capital allocation and O&M discipline, and our continuous improvement process redesigned through lean initiatives. Through our operating company model, constructive regulatory outcomes will be critical through our success, especially in West Virginia and Kentucky, both with major rate case activities this year. Other major areas impacting AEP during 2015 include economic growth in our territory, PJM capacity market reform, the Ohio PPA proposals, the strategic review of our unregulated generation business, and the EPA Clean Power Plant final rule. So I'll quickly go over some of these issues before moving on to the regulatory matters impacting the equalizer graph on the next page. First, the economy in the AEP territory continues to show a rebound with significant and balanced growth in all three major customer classes. Overall, normalized load for the fourth quarter of 2014 increased 3.1% over fourth quarter 2013, excluding Ormet showing solid growth in almost all sectors of the economy. This is great news moving into the new year. Brian will share more specifics regarding load in a few minutes. We are making excellent progress regarding our continuous improvement initiatives with business functional reviews on schedule, while achieving the targeted savings. Lean deployment is complete in 13 distribution districts, with another 13 districts review planned for 2015, bringing the total to 26 of the 32 districts. We hope to move the others planned for 2016 into 2015, so that we can achieve the full value of these deployments in 2016. We have also completed initial deployment activities at the nuclear, IT, supply chain, commercial operations, customer and distribution services among others. We have also now completed 10 fossil plants with two others planned to complete during 2015. Transmission has completed the first of five, and the others have also planned to be completed in 2015, so another big year for lean deployment in these and other areas. We're also following up with lean maturity assessment in all of the completed areas starting in 2015 to ensure sustainability of these efforts. Capacity market reform continues in PJM with filings of proposals for the capacity performance model and supplemental options with FERC. While some changes to these proposals are necessary to improve longer term financial stability as we discussed in our filing in these matters, we are pleased that PJM is pursuing these necessary and important changes. They will improve the balance approach to resources, in particular, ensuring the financial viability and value of base load generating facilities that provide substantial electric system reliability and support. We're hopeful that FERC will recognize the importance of these reforms to not only stabilize the PJM markets, but also ensure the reliability of the PJM footprint, particularly in the face of impending coal unit retirements in 2015 and beyond. FERC needs to approve these changes expeditiously, so that adjustments could be made to the upcoming PJM capacity options. Regarding the status of the Ohio purchase power agreement, PPA, pending decisions, we believe that the December special hearing that we held before the PUCO, a strong case was made by AEP and other parties that a legal basis and path exists under Ohio and Federal Law that allows PPAs to be put in place to not only protect customers from volatile capacity and energy markets, but also protect Ohio generation jobs and taxes. The first shoe [ph] will drop soon with our ESP III case that contains the PPA approach for the OVEC generation capacity followed at some point by the remaining PPAs for the approximately 2700 megawatts of capacity that is most at risk in Ohio. These decisions are critical to the viability of these generating assets, and to Ohio's energy future. The choice is clear for the PUCO, either generation to be maintained in the State as a hedge for customers against significant price swings with the added value of jobs and taxes, tax benefits to Ohio or we can continue to be an importer of power from out-of-state with further negative impacts on Utica shale development and economic development within the State. A positive decision on the ESP III case would at least open the door for a healthy continued dialog regarding the future of Ohio resources. The EPA's clean power plant continues to gain attention with over 2 million comments filed. AEP filed comments with the EPA not only defining the legal impediments to EPA's tortured position regarding the rules development, but we as well as many other knowledgeable parties made the case that the timing of the 2020 interim target are not achievable, and the reliability and resiliency of the electric grid is at risk if U.S. EPA continues to pursue this much too aggressive path and transform our nation's capacity in energy supply. Without adequate time available for states and those responsible for liability to perform the proper studies before implementation can even begin, we risk a more costly and chaotic path to a cleaner energy economy. We're pleased that the FERC, NERC and as well as the congress are focused on the reliability issue, and we look forward to participating in FERC's technical conferences that are upcoming this year. Additional warnings have been issued by several of the regional transmission operators, and many of our states are extremely concerned about these proposed rules, and so are we. Now, regarding the unregulated businesses, as you are all aware, ideal.com article mentioned that we had engaged an investment bank to help us evaluate our alternatives related to the disposition of that business. We acknowledge we had indeed hired the bank as a part of the process we have been discussing with you all for several quarters. As we discussed previously, we are engaged with our Board and are evaluating the strategic alternatives as certain milestones of factual information become known, such as timing for capacity market reforms and auctions, Ohio PPA guidance, and of course the impact of retirement on capacity energy markets. All of these issues represent no regrets actions to enhance generation of value, regardless of the ultimate decision regarding these assets. This analysis continues and remains on track. So now, moving to the equalizer graph which is the page five of the presentation; obviously strong regulated results, we continue to do several things. First of all, we presented in a different way this time, showed 2014 earned regulate ROEs, and then also showed a pro forma view of 2015. That was done because primarily the ROEs are lower on the left hand side of the page for 2014 because of the advanced spending that occurred, and also does not reflect the revenue that was generated from the unregulated generation side that we used those proceeds to actually do the advanced spending of those -- in those various jurisdictions. So, as I go through each one of those, for Ohio power, we'll continue to expect to see Ohio power to earn 12% in 2015 in line with the ROE authorized in the most recent seat analysis. As far as APCo is concerned, as I said last quarter, the combined company amassed a disparity between Virginia and West Virginia ROEs. We're doing fine in Virginia, but as far as West Virginia is concerned, we have a lot of work to do there. There is a case that's been filed for 226 million of which 45 million relates to a vegetation management writer. The earned ROE for West Virginia was approximately 5.8% as filed in the rate case. So hearing has just concluded last week, and we expect an order on that rate case in late May. As far as Kentucky is concerned, Kentucky has 5.1%. It certainly reflects the supplies we got relative to the order from Kentucky. We had to take a $36 million regulatory provision that was recorded because of the fuel costs disallowance that occurred as it related to Mitchell. We've also filed a rate case at the end of 2014 that reflects about 70 million increase for the full recovery of Mitchell, and we expect that case to be effective in July 2015. So it was vicarious to us that we line up with a single issue rate making approach associated with the fuel costs issues, and not taking account the broader issues that also will be involved in the rate case. So we're disappointed with that outcome, and certainly there's precedence there that we were banking on in terms of minimum load commitments and those types of things, but we're considering an appeal of that order, but also want to stay engaged with the Kentucky Commission so that we fully understand where they're going and what we need to do to bring about a more positive environment in Kentucky. So moving on to I&M; I&M is doing very well, 7.9% because of the additional spending that's occurring there, the O&M shifts from the future years. And I&M is well positioned to grow earnings and achieve a 10% ROE. I&M has a great regulatory framework and a lot of major capital investment programs that are in place, and we expect that to continue to improve, and that's why the pro forma side relative to I&M is up towards 10.8%. PSO continues with fourth quarter 2014 earnings improved over the prior year resulting in an ROE increase of 8.3% to 8.9% for those periods, and really it's because of O&M shifting and how our capital invested on the environmental spend associated with Northeastern units. So we're seeing some pressure there, but PSO is doing fine considering the advanced O&M spending. As far as SWEPCO is concerned, that issue remains in terms of Turk Arkansas portion of the generation. We're evaluating net debts in regard to that particular aspect of it, but nevertheless SWEPCO has been able to achieve a $14.4 million rate increase in Texas to recover transmission costs and the LPSC also improved -- the Louisiana Public Service Commission approved new rates that will go into effect -- did go into effect first of the year resulting additional 15 million of revenue. So SWEPCO obviously is working where it can, but the larger issue for SWEPCO will be the Turk portion of the generation, which we are developing plans associated with that. As far as AEP Texas is concerned, AEP Texas, the pro forma returned is coming down primarily because of a significant drop in increased CapEx, lower earnings, and the need to infuse equity associated with the securitization. So -- but they're filing a T-cost filing that was made in December with an approval expected in February 2015, and then also looking at the distribution filing as well. So, work in progress relative to AEP Texas. The Transco continues to do well. Those returns are still at the 11.5%, and look back at 11.2% for 2015. We continue to add additional plant and service, 837 million. The plant and service were added in 2014; and for ETT and other, 54 million of plant and service. So we continue to invest heavily in the transmission business, and those returns are what we expected. So overall the returns for the pro forma adjusted ROE is at 9.6% for 2015, which is slightly above I think, we had 9.5% in the EEI financial case. So it's slightly above that. But as you see the advanced spending of '15 and '16 roll off and as well the additional rate case activity that's occurring, we should see improvement during 2015. So, obviously I think it's been a great year because of the way we positioned the business, and as I said earlier, last quarter 2015 will be an interesting year, but one that no doubt why we're excited about and will set the tone for redefining AEP's future. So, now over to Brian.
Brian Tierney: Thank you, Nick, and good morning everyone. On Slide 6 you will see our comparison of 2014 operating results to 2013 by segment, for both the quarter and the year-to-date period. I'll focus my remarks primarily on the total year results. You can find the details for the quarterly results in the appendix. Operating earnings for the fourth quarter were $232 million or $0.48 per share compared to $0.60 per share or $296 million last year. These results when combined with the results through September pushed our year-to-date operating earnings to $1.7 billion or $3.43 per share compared to $3.23 per share or $1.6 billion in 2013. Despite mild temperatures during this past summer, our 2014 results were strong compared to last year, driven by the weather-related sales and strong operations last winter. Our execution during this extreme periods produced sufficient margin for us to advance O&M spending from future years as well as to raise our 2014 midpoint target by $0.15 per share. Finally, we continue to deliver on our transmission targets, as Nick said, exceeding our 2014 forecast for the Transmission Holdco segment by $0.02 per share. With that as an overview, let me step you through the major earnings drivers by segments for the year on Slide 7. 2014 earnings for the vertically integrated utility segment were $1.45 per share down $0.07 from last year. The major drivers for this segment include the favorable effects of rate changes and strong off-system sales margins offset by higher non-fuel operating costs. Rate changes were recognized across many of our jurisdictions, adding $0.20 per share for the year. This favorable effect on earnings is related to incremental investment to serve our customers. Partially offsetting this result were regulatory provisions of $0.04 per share in APCo Virginia and $0.05 per share for the Kentucky fuel order. Increases in off-system sales benefited shareholders and customers. The higher margins improved earnings for this segment by $0.16 per share, while customers across several of our jurisdictions realized a $129 million through margin sharing mechanisms. This was driven by strong performance during last winter's polar vortex. O&M expense was higher than last year which lowered results for the segment by $0.28 per share. The higher O&M was due in part to plan incremental spending including shipping work in future years primarily in our generation wires functions. In addition, O&M was impacted by an increase in employee-related costs and the effects of certain credits recorded in 2013. Depreciation expense is also higher due to increased capital investment. This increased expense lowered earnings by $0.09 per share. To a lesser degree, weather and normalized load favorably affected the comparison by $0.02 and $0.01 per share respectively. Colder than normal temperatures were experienced most of this year, benefiting sales at the beginning and end of the year, but adversely affecting sales during the summer months. The transmission and distribution utility segments earned $0.72 per share for the year, $0.01 below 2013 results. The major drivers for this segment include the favorable effects of third-party transmission revenue and normalized load growth offset by higher operating costs. Higher third-party transmission revenues added $0.09 per share, resulting from increased transmission investments, increased revenues from customers who have switched to alternative suppliers in Ohio, and favorable rate adjustments in the PJM and ERCOT regions. Normalized load was strong in both Texas and Ohio, improving results by $0.06 per share. I'll talk more about Load and economy in a few minutes. Similar to the vertically integrated segments, O&M expense was higher than last year. This lowered the results for this segment by $0.05 per share. The higher expense was due in part to planned incremental spending, including shifting work from future years. In addition, O&M was impacted by an increase in employee-related costs. Depreciation expense was higher for the year due to increased capital investment lowering earnings by $0.04 per share. Certain tax items adversely affected the annual comparison by $0.04 per share due to higher property, State, and Federal income taxes. Rate changes and regulatory provisions netted together were unfavorably by $0.01 per share in the annual comparison. Finally, other items affected the comparison by $0.02 per share. The Transmission Holdco segment continues to grow, contributing $0.31 per share for the year, an improvement of $0.15, reflecting our continued significant investment in this area. In the past 12 months, this segment's plan grew by approximately $1.1 billion, an increase of 68%. The generation and marketing segment produced earnings of $0.84 per share adding $0.14 per share to the annual comparison. Gross margin improved more significantly early in the year due to the strong performance of the generation fleet and commercial organization during the polar vortex. The results in 2014 also benefited from lower fuel costs, partially offset by higher O&M expenses. These included maintenance costs as well as severance and retirement obligations related to unit retirements in 2015. AEP river operations contributed $0.10 per share in 2014, $0.08 per share more than 2013, due to improvements in barge freight demand for much of the year. Corporate and other earnings were down $0.09 per share from last year. The 2013 results included the interest income benefit recorded in 2013 associated with the resolution of the U.K. windfall tax issue. In summary, we took advantage of extreme weather conditions, performed well operationally; we were able to get a jump on future spending requirements, and achieved earnings within our raised guidance range; all in all, a successful year financially. Let's take a look at Slide 8 where we can review the normalized load trends for the quarter. By now, you should be familiar with the layout of these charts and how we show the growth with and without Ormet which seized operations in the fourth quarter of 2013. My remarks will reflect the exclusion of Ormet, unless otherwise noted to give you a sense of how our service portfolio is recovering on an ongoing basis. Starting in the lower right corner, you can see that overall weather normalized load was up 3.1% for the quarter. This marks our fifth consecutive quarter with positive normalized load growth. I would also like to point out that the 2.2% growth for the year was the largest annual increase in retail sales since 2010. In the lower left quadrant, you see that our industrial sales volumes were up 3.9% for both the quarter and the year-to-date. We continue to see the strongest industrial sales growth from customers in our oil and gas related sectors which I'll cover in more detail later in the presentation. In 2014, nine of our top 10 industrial sectors experienced compared to last year. The lone exception for the year was mining which was down 3%. For the quarter the sector leaders were pipeline transportation up 61% oil and gas extraction up 11% and primary metals our largest sector which experienced 5% growth for the quarter excluding Ormet. On the upper right of the slide, you can see the commercial sales were up 3.5% for the quarter and were positive for the year for the first time since 2008. We saw the strongest commercial sales growth this quarter in Texas where customer accounts increased by 1.8%. For comparison the AEP systems are commercial customer growth are five tenth of a percent. Finally, in the upper left corner you can see the residential sales were down 2.1% for the quarter and end of the year up 1.1%. While we continue to see steady growth in residential customer accounts in the west both for the residential growth is related to higher customer usage which is consistent with the improving economy in AEP service territory. I should point out that both for the quarter and year we saw the strongest growth in residential and commercial sales in the P&D utility segment where we collect only the wires component due to the unbundled rate structure. In the vertically integrated utility segment where we collect the full bundle grade we actually saw a decline in residential and commercial sales. With that, let's review the most recent economic data for AEP service territory on Slide 9. Starting with GDP you can see that the estimated 2.6% growth for the US economy in the fourth quarter is higher than the 1.7% growth in AEPs aggregate service territory. However in the upper right corner you see that the economy in our western service territory grew by 2.5% in the fourth quarter which nearly matched the US and outpaced our eastern footprint. In the bottom left quadrant you can see the job growth within AEP service territory continues to improve in step with the U.S. employment recovery. Job growth in AEPs western territories exceeded both the US and AEPs eastern service areas. Within AEPs territory we saw the strongest growth in the quarter in the following sectors, natural resources and mining, construction, leisure and hospitality and manufacturing. Now let's turn to Slide 10 to update you on the impact the domestic Shale gas activity is having on AEPs industrial growth. As we've said before we are seeing significant load increases in the part of our service territories that are located in and around major Shale formations. For the quarter, industrial sales in the shale counties were up 23% compared to seven tenth of a percent decline in non-shale counties. For the year we saw a 30% growth in our Shale counties compared to 2013. This Shale region growth activity is significant for AEP because 17% of our industrial sales are located in Shale gas counties. The bottom of the chart highlights our industrial sales growth by major Shale region. As you can see for the quarter we saw a growth in all five Shale areas with the strongest growth around the Marcellus, Woodford and Utica regions. Finally, we know that the recent decline in the oil prices is sustained will be strong in the headwind in the oil and gas sector in 2015. Fortunately AEP has a diversified industrial base within a service territory to insulate it from down turns in one specific industry. For example, transportation and auto manufacturing would likely benefit from lower fuel prices. This is another example of how AEPs balanced portfolio of utilities provides not only geographical diversification for exposure to weather but also a diversified regional economy to provide steady growth under various economic conditions. Turning to Slide 11, let's review the financial health of the company. Our debt to total cap remains healthy at 54.4%. A credit metrics FFO interest coverage and FFO to debt have improved from last quarter and are solidly in the triple B and BAA1 range at 5.4 times and 21.8% respectively. Our qualified pension funding decreased 2% from last year and now stands at 97% funded. The reduction in the funded position was a result of an increase in planned liabilities driven by a 70 basis point decrease in the discount rate in the adoption of the new mortality table, which was anticipated. An increase in the planned assets tempered the impact of the liability growth during the year. For 2014, our pension funding was $71 million, and we expect to make a contribution of $87 minimum in 2015. O&M expense associated with our pension was $103 million in 2014, and is expected to be about $84 million in 2015. Since our Op '10 [ph] funding is at 118%, no funding was required in 2014 and none will be needed in 2015. Finally, our liquidity stands at nearly $3 billion, and is supported by our two revolving credit facilities that extend into the summers of 2017 and 2018. During the fourth quarter of last year, our treasury group posted with our banking partners to amend and expand those key facilities. In doing so, we were able to modify the facilities in such a way that the bank's capital requirements would be reduced, while at the same time, providing a benefit to AEP by expanding the tenure and taking advantage of improved pricing. We worked hard over the last several years to achieve the financial strength demonstrated on the slide, and we believe we're well positioned for the future. Turning to Slide 12, I'll try to wrap this thing up, I know that 2014 is now ancient history, so let me close by providing an update for 2015. We're reaffirming the guidance range, as Nick said that we provided to EEI last November of $3.40 to $3.60 per share. Here are some of the drivers you should think about that impacted the guidance range. We have a positive track record in putting capital to work for the benefit of our customers and then earning a return on that investment are efficiently getting it into rates. This year should continue that trend with expected rate changes of approximately $200 million, similar to last year. We are encouraged by the recent experience in our residential, commercial, and industrial classes. And we expect the modest load increase this year of 6.10% [ph]. Our continued investment in transmission infrastructure should provide approximately $0.07 per share growth, and we will look for opportunities to employ additional capital in that area just as we've done in the last couple of years. We're maintaining the discipline around operations and maintenance expenses, and because of our cost reduction initiatives as well as the cost we shipped into 2014, O&M should be a positive driver for 2015. In regards to the challenges we face for 2015, I think you're well aware of them; from the earnings shortfall from the PJM capacity pricing and the retail stability rider, the lower natural gas prices and power prices and their impact on our system sales. The capacity in RSR issues have been known for some time, and it is still very early in the year to make any changes based on current energy prices. At this point of the year, we're still comfortably within the previously announced range. In summary, the company is financially strong, and we're well in our way to meeting our stated goals. With that, I will turn the call over to the operator for your questions.
Operator: Thank you. [Operator Instructions] Our first question will come from the line of Dan Eggers at Credit Suisse. Please go ahead.
Dan Eggers: Hi, good morning, guys.
Nick Akins: Good morning, Dan.
Dan Eggers: Hey, guys. I know there is going to be a lot of Ohio questions in a minute, so I wanted to hit a couple of others, first. On the transmission business, with the -- if you read IPO out in the market, how are you guys thinking about the future of your transmission business, given the size and the growth potential there, and respectively other key performance of funding for the business?
Nick Akins: Yes, we continue to look at our transmission business as part and parcel to AEP. I mean we obviously have a lot of scope and scale there, but really we continue to find it on a continual basis, and it's important for us to be in a position to be able to grow that business. And really to go to these other structures, there are complications from a state regulatory standpoint and tax hearing standpoint. So at this point I think we're going to continue pursuing transmission in the vein that we have been.
Dan Eggers: One of the successes of the transmission issue was you guys kept finding more capital to put into that business. How are you thinking about investment as a baseline for 2015, and what do you think would cause that number to come up as the year progresses?
Nick Akins: Yes, so during the year we continually reallocated capital from other business units as part of the business that we are in. One of the process is the great processes we have in place with the capital allocation program and the continual process for reallocation of capital enables us to move more to the transmission side and advance some of that green area that I keep talking about on the graph of additional transmission span that we have available. If we get ahead in some fashion, you never know what the summer will look like, but we'll certainly look for continued ways to improve and put that capital work in the transmission area.
Dan Eggers: You guys did a nice job detailing all the earned ROE expectations for the utilities by utility. In aggregate, with this 9.6% earned ROE, should we assume this kind of a normalized earned ROE for you guys? You guys now -- be between cases in different jurisdiction, so not a reason to be optimized the same time as the -- have we seen any improvement in ROEs that we should expect to see after this year?
Nick Akins: Yes, I think you can see the stack that we have for regulatory is relatively small compared to previous years as we continue to invest in the regulated businesses. You're going to continue to see sort of a ten-ish, around 10% type of ROE. So we expect as we continue to make progress, we have invested heavily in transmission, and some of that transmission is also included in the operating companies. And you also have additional distribution spending going on. So we'll continue to make advancements, and cases will become probably much more frequent and less in terms of what the ask is so that we can take advantage of writers and things like that to get more concurrent recovery. So as we progress in that regard, you'll see things like -- and I&M is a perfect example where not only legislative, but from a regulatory stand point we've been able to get pretty substantial capital expense with a timely response in terms of recovery. We have that there transmission. Certainly, we're doing well from Ohio perspective, from a transmission distribution perspective. So those are the kinds of things we'll continue to advance in the other jurisdictions as well.
Dan Eggers: Got it. Thank you, guys.
Operator: Thank you. Next, we'll go to the line of Anthony Crowdell of Jefferies.
Q – Anthony Crowdell: Hey, good morning Nick, no offense taking -- you mentioned the All Star game this weekend. With the reference to the offering, I'm no sure, if you would add, but the question I have relates to -- you mentioned earlier about the strategic view of the generating assets, and then also maybe obtaining an Ohio PPA, I mean, how would the company approach it if basically the grounds from the Ohio PPA was that AEP had to retain all the generating assets in Ohio?
Nick Akins: Yes, so obviously I mean we don't want to talk too much about that because you don't know where things are going to go in this case, but it's our position that it's really no regret strategy for Ohio, given there really shouldn't be a requirement that we continue to own the asset, because what this is really about is reinforcing the value of those resources that they continue to run in Ohio. Now, obviously it's a good thing to have PPA that support contracts and support generating units, and that would be a positive aspect if this says, "Okay, there is continued consistency in terms of recovery around the cost related to these assets," and that would be a good thing. So we're going to just have those kinds of discussions, but obviously as we pursue it we want to see that we have the ability to do whatever we decide to do from a business standpoint, but make sure that those assets are standing there for our Ohio customers though. We'll just have to see where that goes.
Q – Anthony Crowdell: Great, thank you very much.
Nick Akins: Yes.
Operator: Thank you. We'll go next to the line of Paul Patterson with Glenrock Associates. Please go ahead.
Q – Paul Patterson: Good morning.
Nick Akins: Good morning, Paul.
Paul Patterson: Can you hear me?
Nick Akins: Oh, yes, good morning. How're you doing?
Q – Paul Patterson: All right, just on the O&M shift, I apologize if I missed this; from 2015 to 2014, how much of that quantifiable -- I apologize if you -- I mean I was loosening, I just don't know if I missed it. How much of that was put in 2014 that's going to be coming out in 2015 and 2016?
Nick Akins: Yes, about 60 million was moved forward from '15 and '16 into '14.
Q – Paul Patterson: Okay, great. And then with respect to the AEP merchant operation I guess obviously there are a lot of moving pieces, and I can appreciate that. But I'm just wondering, what are the chances that you guys could retain this business? How should we think about this?
Nick Akins: Obviously, we're going to have to go through the evaluation processes to determine exactly what we do. But our going in position is we're regulated utility. And – and the two things that we're trying to get out of this process was to make sure that we took volatility out of that out of the unregulated business. And we're able to make long-term investments. Now, that's relatively a hard hurdle. But nevertheless we have to go through the process of understanding the capacity market reform, what happens to PPA as to solidify those assets, what happens to energy markets when the other coal units around 5700 Megawatt of coal fire generation gets retired here in May. And then sort of two other things going on and that is these [pieced up] metal auctions that are occurring and if FERC approves the capacity performance model and have these other auctions, those maybe considerable value propositions that we're going to have to know and understand. So I said the first issue was going to drop around the ESP III filing and be up to the commission when they actually render an order on the follow up to that, which is for the larger piece of assets and that's around 2700 megawatts. So it's going to be depended upon the timing and our understanding of the value proposition associated with that business. And I think you said that correct earlier. There are a lot of moving parts here. But they are parts that are starting to come together in 2015.
Q – Paul Patterson: Okay. So it is safe to say sort of that if you don't do out of priority it's going to be above the merchant operations due to let's say ESP not working out as planned or whatever, would it be less likely that you guys would end up retaining the asset? Does that make sense?
Nick Akins: Yes, that makes sense.
Q – Paul Patterson : Okay, thanks so much.
Operator: We'll go next to the line of Hugh Wynn with Stanford Bernstein.
Nick Akins: Hi, Hugh.
Q – Hugh Wynn: Hi, first one on Slide 7. You've explained how some of the 2015-16 O&M expansions were brought forward. There is another factored key that I wanted you to shed some light on. The biggest contributors to higher earnings this year were I think the -- among the biggest contributors were the OSF, $0.16 and AGR, $0.11 you also got a nice added benefit from the AP river operations and some significant portion of that on the OSF and AGR obviously reflected Q1 weather and market conditions. I imagine the AEP river operations reflected to some extend very benign growing condition and record corn harvest. My question is how should I think about 2014 away from the impact that weather had on generation and shipping volume to AEP River?
Nick Akins: Yes, I think one thing is load obviously was increased during that period of time. And then there was an enabling factor here where with load with obviously with the unregulated generation was able to do relative to margins. We were able to take advantage of that, and certainly, offload some of the '15 and '16 impacts. But I'd say the year when you look at the foundational issues that we have from the regulatory recovery to the -- to what the service territory looks like it's doing in terms of load increases and the makeup of that load is probably very -- I mean that would be very good for us from a foundational perspective going forward. I think you all look at 2014 as a very successful year ended that we took advantage of the upside that existed because of frankly the polar vortex and how we performed with our units and also being able to give some of the regulatory actions in place, so I'd say 2014 was -- if you took out -- if you adjusted out the you know what we're made in off-system sales relative to the polar vortex, then we probably would not have taken some of the steps that we took and still would've managed the year in a very positive way.
Q – Hugh Wynn: So with that, basically you're suggesting I think that we should be looking at 14 as have reflected off the line earnings power given the frontloading of the O&M offsetting the Q1?
Nick Akins: That's right I think 2014 turned out to be a major positional year for us because we took advantage of some of the things that occurred during the year and that's really as I said earlier that's the true story of not only 2014 but the last quarter. We took advantage of the upside that occurred during the year but we didn't do it you know just by doing additional things we did it by managing our … managing the future in terms of the earnings power of the Company as well. So you know that's really the story of the year.
Q – Hugh Wynn: That relate that question on 8/10 [ph], I assume nonetheless that the -- correct me if I'm wrong here, the relatively low growth that you're anticipating and residential normalized sales and commercial normalized sales despite accelerating GDP growth and improving employment and consumer confidence and all those good things. Still reflects you know some element of the first quarter strength that you feel was probably not going to be repeated even in this normalized basis so in other words you're working off of a very high base and its going to be harder replicate equivalent levels of growth in the coming year.
Nick Akins: I think that's the last comment you made kind of hits a nail in the head, because our growth was so strong in 2014 we don't think it will be as strong as we go into 2015 and that's why you see the numbers for the estimates reflected on slide 8 that you do.
Q – Hugh Wynn: Okay, and what…
Brian Tierney: And you got to keep in mind too I mean we do the best job we can in terms of anticipating what load forecast looks like but in this economy and with what's going on particularly when you're on the -- where its adjusting considerably as we go along we tend to be a pretty conservative branch. And it's done that way because … because it's sort of a foreseeing function for the rest of the business to compensate for what we could have is … is you know very low load growth depending on what happens to the world economy oil and gas prices. We just have to see some consistency in all this has to be really positive to make further adjustments in the future and that's going to play itself out.
Q – Hugh Wynn: Now that conservatism on a load forecast and the calculation of adjustment range is much appreciated; just one last thing, what -- have you guys disclosed any expectations regarding the pace of O&M growth off of the 2014 base?
Nick Akins: Yeah, we -- we thank you it will be flat to slightly positive when you look at the utility segment net or earnings offset at about $3.1 billion in O&M. we anticipate that to be perhaps closer to about $3 billion in 2015. So we do expect some uptick in O&M and that's as a result to some of the things that we talked about, pulling some of those expenses and work associated with those expenses forward in the 2014 through 2015 and 2016.
Brian Tierney: The fascinating part about all of that is that we continue to absorb additional increases in O&M you know for labor costs, for certainly for cyber security, physical security all those things that are occurring in addition so it's … its more than just you know keeping that flat. It's really absorbing substantial changes.
Q – Hugh Wynn: Got it, thank you.
Operator: We will go next from the line of Jonathan Arnold at Deutsche Bank. Please go ahead.
Jonathan Arnold: Yeah, good morning guys.
Nick Akins: Good morning.
Jonathan Arnold: Firstly I wanted to ask on the comment you made about residential sales being primarily up on usage rather than customer count in the west, are you seeing a some kind of a softening in the efficiency angle or can you just give us a little bit more color on your confidence in the source of that growth and the -- as if likely trajectory?
Brian Tierney: Yeah, Jonathan this is Brian. In some of the parts particularly T&D utilities where we're seeing a lot of Shale industrial growth is where we've seen a lot of the average usage growth go up. And in places that aren't impacted by that we've actually seen a decline in average customer usage. So if as utilities we look at for industrial the lead commercial and residential growth that's very much been the case in the places where we see the Shale developments. I guess looking forward in terms of energy efficiency I think a lot of the energy efficiency to date in the states where we have energy efficiency initiatives have been focused more on the residential class and we anticipate some of that low-hanging fruit gets taken, some of that would start shifting with the commercial class and we'll start to see some impacts there as well. But that's sort of a … the color I'd give you on where we're seeing the load growth and why.
Nick Akins: Brian alluded to this earlier and that is the shift its occurring if we see the oil and gas impacts relative to Shale gas activity well you still have gasoline and basic energy prices that are reducing that so that would have an effect of improving the residential and commercial side as well, so because this part of the economy obviously the benefit from more disposable income so it would be interesting to see as the year goes on how this develops. We're just out the beginning of you know being in wash and shale gas and that kind of thing. But with gasoline prices lower it may enable people to start purchasing more homes and those types of things that move the economy.
Jonathan Arnold: Great thanks and so you've kind of see trend 2015 sales outlook by 30 basis points, is that -- and you've talked about other parts of the economy offsetting shale, can you -- how much of the -- is the kind of Shale slowdown is seem to be versus what you were expecting?
Nick Akins: Jonathan, when you look at -- when you say we've trimmed it by 30 basis points it's really adjusting the base that we're operating off of. So it's the higher base in 2014 that really accounted for the reduction in 2015 on a year-over-year basis. Does that make sense?
Jonathan Arnold: Yeah. If my memory serves, you did that last year too…
Nick Akins: Yeah, that happens.
Jonathan Arnold: Anything happens. Great. Could I just ask one other thing -- on this EEI slides I think you said you said you had 80% of generation gross margin, you know locked in some form of a contract or hedging. Is there an update to that number? And I guess you know maybe that hedges would be a bigger percentage of a smaller number so maybe adjusting for any change in the overall outlook.
Nick Akins: Yeah., John, we don't like to give obviously a specific number but when you think about what we try and have hedged we try and be in that 60% to 70% hedged range. And I think that would be a fair assumption looking forward as well. He worries about comparative information so…
Jonathan Arnold: Right, right.
Nick Akins: But that's a general rule of thumb that he is …
Jonathan Arnold: But having said you did say you were at 80 in November. Yes, okay they're not -- you're not saying that's changed … are you Brian when you say 60 to 70?
Brian Tierney: No, I'm not -- there's no change. When we talk about the range we like to be hedging and -- you also need to think about whether its volume or margins.
Jonathan Arnold: Right.
Brian Tierney: So I think the margin that you're referencing is higher in terms of volume it would be lower amount.
Jonathan Arnold: Thanks a lot.
Operator: Thank you we'll go next to the line of Paul Ridzon with KeyBanc.
Nick Akins: Hello Paul. How're you.
Paul Ridzon: Just fine. Goes back to Hugh's question about Memco, was 2014 a good year or 2013 a poor year?
Brian Tierney: Hi, Paul. It's a combination of both. But 2014 was a good year primarily we're starting to see earnings capability from the tanker barges. You know we also had a good grain season that continues. But at the tanker -- our entry into the tanker barge business has been successful.
Paul Ridzon: But I think Nick's initial statement hit the nail on the head; '13 was not a good year and '14 was a good year.
Brian Tierney: So, '15 may be split the difference. We like to see it continue like '14 was and as Nick said we're getting higher margins from some of the tanker barges that we have. And we anticipate that we'll continue to grow that part of the business where we get the higher margin.
Paul Ridzon: And then on transmission, I think you finished the year $0.02 ahead of plan. Should we assume that '15 can -- that carries you can finish $0.02 ahead of '15's plan?
Brian Tierney: Yes, we're thinking that the transmission side will improve 14 as a result by about $0.07 per share.
Paul Ridzon: That kind of put you on top of where your EEI lies at, $0.38?
Brian Tierney: That's about right.
Nick Akins: Yes, that's right.
Paul Ridzon: Okay, thank you very much.
Paul Ridzon: Okay. Thanks, Paul.
Operator: We'll go next to the line of Ali Agha with SunTrust. Please go ahead.
Ali Agha: Good morning.
Nick Akins: Good morning.
Ali Agha: Just making sure I understand on the merchant thinking in your part as you dealt that number of data points coming up. But if I hear them and the timing of all of those looks like by middle of this year, you should be in a position to strategically decide your next step. Is that a fair when you think about it?
Nick Akins: I think as it now stands, you're going to have a lot of that information by mid-year. Now, it remains be seen what the commission does strategically that probably utility commission of Ohio relative to the second increment the 2700 megawatts generation if that to occur before May or after May I don't know at this point. And then what FERC does with the supplemental options, if you have supplemental options particularly that add tremendous value proposition form the existing auction period like the '16 and '17 auctions. There could be a supplemental auction associated with that, and then others as well. Then we are going to have to fully understand what that means. I'm sure if there is a transaction -- any transaction party would want to understand that too. So as a general thought process, we're thinking of lot of the information coming to play in '15. We're hopeful that a lot of that comes into play in mid-15. But we'll have to see where that goes.
Ali Agha: Yes, and conceptually on the part as you thought about actually exiting the business. You looked at two parts; actual sale monetization raising cash re-investment in that and then spin-offs where you save some of the tax leakage. As you got more data, you've gone down the part any clarity or preferences between those parts?
Nick Akins: No, not yet. There are some big opponents sitting out there that we have to fully understand. Obviously be great to take precedes and re-invest in the business, particularly in transmission. But each one of those options that you mentioned has its pros and cons. We need to make sure we have all these major factual items to make a sound decision.
Ali Agha: Generally, you do believe that its capital still out there, you will be back this big PJM-related transaction if that have happened recently that's still capital availability out there that is willing to spend more money in that region?
Nick Akins: Yes, I do. I think there is. And obviously some of the latest information on market power concerns and those kinds of things will -- it really depends on who the other parties are. So, we'll have to -- that's another issue that we'll have to fully understand. I do believe that is out there.
Ali Agha: Okay. And in the past when you guys have talked about your merchant sensitivities and exposures you related there to power prices, dollar change equations to certain earnings per share. But is there sensitivity on the fuel side as well? In other word, oil prices obviously have come down so have coal prices. So should we think more along the dark spread side of the equation or is the sensitivity all still on the power side on the merchant part?
Nick Akins: Yes, I think obviously capacity prices has the big part of the value proposition for those assets and as far as the energy market is concerned, you'd have to look at the energy market and say, "Okay, what's the margin expectation from that part of the business?" So margins are a little bit depressed in this market, but not too depressed, and really -- like I said earlier, it really depends upon someone else's view what the forward curve looks like. So there will obviously be discussions about long-term forward curve and what it looks like for energy process, but the real definition around this will be provided in the capacity side.
Ali Agha: Understood, thank you.
Nick Akins: Yes.
Bette Jo Rozsa: Operator, we have time for one more question.
Operator: Thank you. And our last question will come from the line of Michael Lapides of Goldman Sachs. Please go ahead, sir.
Nick Akins: Hey, Michael.
Michael Lapides: Hey, Nick. Hey, Brian. When I look at the equalizer slide, it's the slide you show on earned ROEs across various segments. Can you just walk us through -- I know you've got the Kentucky rate case outstanding, and now it will have a big impact, but can you walk us through a little bit about what you think will improve things so much at both the I&M and SWEPCO? I mean the SWEPCO $50 million increases are relatively small number in the size and scale of SWEPCO; just kind of how do you get such a big uplift when you look at pro forma versus earned in 2014?
Brian Tierney: Yes. Let me give you some quick insight on the I&M. So obviously they have some plans that are going to retire next year. So what we did in 2014 was look forward at what some of the severance and additional retirement obligations were going to be, and because when you could quantify those and have some real clarity into what those would look like we were able to take those charges in 2014 and won't be realizing those in '15. So '14's results were weighted down by our estimating and calculating those results we take them in 2014, and obviously not having similar results in 2015 in I&M will help us to improve those results there.
Nick Akins: And then for SWEPCO, it's going to be -- we're not going to define an Arkansas solution here, because we got the formal rate changes in Louisiana, really taking into account the Valley district, it was required there, and then in Texas we do have full recovery for Turk, but also the transmission, T-cost filings and so forth have been positive. So those two jurisdictions are working very well. Arkansas is a work in progress, because we're not only -- we're now investing in Scrubber applications, environmental expense at Welsh and Flint Creek power plants. And that's somewhat of a drag, but we've got to get through in some kind of ability to get through either Turk or some rate case support for Arkansas. So, now, Arkansas' returns other than if you exclude Turk are generally okay, but whether it takes an account the risk associated with Turk is another issue, and we've got to find a mechanism to get more value for that previous Arkansas portion of Turk; the 88 megawatts.
Michael Lapides: And you think until that solved?
Nick Akins: Until that solved, you'll continue to see SWEPCO somewhat depressed.
Michael Lapides: Got it. And you think you can get some change in Arkansas done in 2015 to drive that 150 basis points or so increase in ROE?
Nick Akins: You're talking about above the 8.3%…
Michael Lapides: Just to go from 6.8 to 8.3.
Nick Akins: No. Yes. But he is asking how to get from 6.8 from 8.3.
Brian Tierney: Yes, we will be able to do that.
Nick Akins: We'll be able to do that, because that doesn't include Turk. That really is recovery of the environmental expense.
Michael Lapides: Got it, okay. I will follow-up online.
Nick Akins: Okay.
Bette Jo Rozsa: Okay, thank you everyone for joining us on today's call. As always, the IR team will be available to answer any questions you may have. Keeley, you give the replay information now. Thank you.
Operator: Thank you. And ladies and gentlemen, today's conference will be made available for replay after 11:15 am Eastern Time today running through February 4 at midnight. You may access the AT&T replay system by dialing 1-800-475-6701 and entering the access code of 350247. International participants may dial 320-365-3844. Those numbers again are 1800-475-6701 and 320-365-3844 with the access code of 350247. That does conclude your conference for today. Thank you for your participation and for using the AT&T Executive Teleconference Service. You may now disconnect.